Operator: Good morning, ladies and gentlemen, and welcome to the Bombardiers Third Quarter 2021 Earnings Conference Call. Please be advised that this call is being recorded. At this time, I'd like to turn the discussion over to Mr. Francis Richer de La Fleche, Vice President, FP&A and Investor Relations for Bombardier. Please go ahead, Mr. Richer de La Fleche.
Francis Richer de La Fleche: Good morning, everyone, and welcome to Bombardier's earnings calls for the third quarter ended September 30, 2021. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events over the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I'm making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Éric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky to review our operations and financial results for the third quarter of 2021. I would now like to turn over the discussion to Éric
Éric Martel: Hello. Merci, Francis. [Foreign Language] Thank you for joining us this morning. I am delighted to share that the Bombardier team once again delivered a solid quarter. The team executed our plan very well and delivered on our committed - commitment across the board. When we last spoke three months ago, we raised guidance based on our solid execution to date and favorable market condition. Today, we are well on track to meet that raised guidance. Bombardier was the - was proud to attend and witness firsthand the industry's enthusiasm. Most importantly, our new Challenger 3500 jet was very well received and this comes at great moment in time. This plane is a clear example of how our investment in product development can bring significant value to customers in a measured and disciplined way. Our order book is filling up fast for the Challenger 3500. Its strong value proposition and market leading status was cemented by a 20-aircraft firm order closed in Q3. Our unit book-to-bill ratio remains very healthy, having reached approximately 1.7 this past quarter. That contributed to our backlog increasing by approximately $500 million to $11.2 billion. This momentum also translated to a 17% year-over-year increase in business jet related revenue, reaching $1.4 billion in Q3. Flying hours in the industry continued to trend positively. Toward the end of the summer we observed level surpassing 2019. This has also led to an increased topline contribution from our higher margin service business. On services, our infrastructure expansion is progressing well smoothly. We are also looking beyond brick-and-mortar solution to diversify and grow. Digital application like Smart Link Plus and our recently signed MoU with Signature Aviation all will play a part in maximizing our earnings potential and meeting our long-term service revenue objectives. That growth is also occurring with sustainability top of mind. Sustainable aviation fuels, for example, are a significant factor in our collaboration with Signature, but our approach will go well beyond that. In fact, it has been detailed in our newest environmental, social and governance report we published just yesterday. The report charts our path to emission reduction and best practices to ensure we lead all facets of sustainability by example, locally and within our industry at large. Communities in which we operate are a key focus. Staying on the topic of our service growth, we are hiring technicians via relationships we have with many technical colleges across the world. We are also seizing a fortunate to retrain and redeploy staff as we are doing in Wichita, for example. Wichita has been a strong aviation ecosystem and we will continue to contribute to its help. Beyond giving production staff new career opportunities in our service network, the site has also been selected to serve as our main hub or center of excellence for our special mission magnification offering. We will leverage our engineering talent to deliver more success stories similar to the BACN program with the US Air Force. Turning back to our overall business, I can tell you today that we are in the right place. We are delivering consistently on what we set out to do, especially when it comes to deleveraging the balance sheet. Bart will detail our specific actions in his remarks in a few minutes. For now, I would like to simply express how pleased I am with the team behind us. We cleared the debt maturity around the way on plan and with meaningful cash interest savings. We had a very positive response on the market and have given ourselves flexibility to manage our business. As we continue on to the next phase of our capital structure plan, we will remain opportunistic. We are working toward our 2025 objective to reach a net debt leverage ratio of approximately 3 times. We are confident in getting to these levels while remaining disciplined and strategic with our product investment. We have done well in cascading technology from program like the Global 7500 to the entire global family and now the Challenger 2500. This type of ingenuity will further help maintain our product portfolio at the top of a very competitive landscape. Flexibility and focus are really key going forward. Flexibility will also come into play as we monitor the worldwide supply chain. It is clear the world is facing pressure when it comes to transportation of goods or securing labor, not to mention fluctuation of costs and availability of raw material. I can happily report we have not seen any assembly line interruptions. But this is not by luck, it is hard work. Today we are deploying more staff to suppliers, sites, to maintain clear visibility as far up our supply chain as possible. We are not waiting for issue to reach us and the team is extremely proactive and vigilant. We see a lot of tension in this system that does not seem to go away. We will remain very cautious and conservative throughout 2022. With regards to the short-term, the good news is we are largely sold out and have everything we need on that through to next year. The people I mentioned we are sending into the regions will help us deal with any longer-term threat, but again vigilant and a proactive approach are key. When it comes to production, ultimately we need to keep the right balance. We want to avoid adding too much backlog on certain program. That's really the equation it comes down to, pricing, supply chain and backlog. The plan we build is based on stability and consistency, not having to bank on the large market upswing to meet our numbers. Whether it's this year or our 2025 objectives, we are in a sweet spot right now and continue to benefit from a better pricing environment. Short term, we will not overreact to one market indicator alone or precipitate a major change that would create unnecessary pressure on logistics or the bottom line. When it comes to profitability, we have seen a good acceleration on the Global 7500. The team is doing an excellent job driving the learning curve down and we have strong visibility on the unit cost of aircrafts that will be delivered well into next year. We are very focused on driving what we control. We have good tailwind on the 75 - Global 7500 learning curve and we are bringing equal energy and focus to our $400 million recurring saving objectives. The last 20% or so of the plan really focuses on productivity gains and our operational excellence program. On that front, we are delighted to welcome back David Murray. His track record and deep understanding of Bombardier will ensure we cement our productivity efforts in a thoughtful and cohesive manner. David will be looking at all facets of our technology infrastructure and company-wide processes to ensure we unlock the most of value from lean operating principle. Through this, we will further our continuous improvement mindset and I look forward to sharing more on this next year. With that, I'll turn it over to Bart to dive deeper into our key performance indicator and balance sheet. Bart?
Bart Demosky: Thank you, Éric, and good morning everyone. The last three months have certainly been a very exciting period for Bombardier, as we continued to demonstrate solid operational execution while at the same time making considerable progress towards our strategic objectives. In short, our path forward is clearer than ever. Financially, we had another solid performance including free cash flow generation of $100 million and sequential EBITDA margin expansion. On the back of this, we are well-positioned to meet our 2021 revised guidance on both revenues and profitability. And we are already within our objective of better than $300 million free cash flow usage, with one quarter to go. Q3 also saw us achieve a major milestone in our deleveraging plan, with the clearing of debt maturities through to December of 2024. We have also made considerable progress on our other key strategic initiatives, which are the building blocks of our 2025 financial objectives. It's important to emphasize that much of our year-over-year margin expansion is the result of our focus on the things we control and not market momentum. We are pleased with our execution to date and our team remains focused on the work ahead. In particular, the Global 7500 learning curve continues to perform to plan. We remain on track to our objective of 20% unit cost reduction between the 50th and 100th aircraft. In fact, the 100 aircraft, Global 7500 is currently going through interior completion, which means we have excellent visibility on the cost of this aircraft. Our $400 million cost reduction initiative continues to track ahead of our initial plan, and we are incorporating the remaining transforming initiatives within our ongoing budget and strategic planning process. On services, as flight hours begin to exceed those of 2019, our aftermarket business is reacting as we expected. Our facilities, including the additional footprint we've added, are filling up fast and our parts and paper - our revenue streams are picking up momentum. We expect aftermarket growth in the coming quarters will continue to be progressive as new facilities become operational. Finally, we have achieved a major milestone in our deleveraging plan with the clearing of debt maturities through to December of 24. Here is where our key debt capital metrics stand today. Gross debt now stands at $7 billion, which represents a full $3 billion reduction since February of this year. We have increased our average debt years to maturity by approximately 50% from 3.4 years in December 2020 to 5.2 years currently. Annual interest costs have been reduced by more than $225 million on a go-forward basis. And our liquidity position is strong with approximately $1.9 billion of pro forma liquidity at our disposal. Now, while we are very pleased with the steps we have taken to date, we know there is more work to do on our capital structure going forward. That's why we will remain vigilant in our tracking of changing market conditions and be opportunistic in our future capital market transactions. With that, let's move on to our Q3 results, which continue to build on our strong first-half performance. First, total revenues for the quarter reached $1.4 billion, resulting from 27 aircraft deliveries and $310 million in aftermarket revenues. This represents a year-over-year improvement of 17% when adjusting for the impact of the divestitures we made in commercial aviation and Aerostructures. Our business aircraft manufacturing year-over-year revenue growth was a result of three incremental deliveries and better mix. Large-cabin aircraft accounted for a higher content of deliveries, going from 13 in 2000 to in 2021, including 9 global 7500 aircraft, which puts us on pace for 35 to 40 deliveries for the full year. For the aftermarket business, revenues continued their quarter-over-quarter uptrend, increasing from $295 million in Q2 of last year to $310 million in Q3 of this year. Year-over-year revenues increased by $76 million or 32%. As flight hours have now recovered from last year's lows, we are seeing activity ramp up across our aftermarket revenue streams in line with our expectations. Divestitures did have an impact when comparing year-over-year reported results. Revenues from Aerostructures and commercial aviation accounted for approximately $160 million year-over-year reduction in revenues in Q3 and approximately $740 million year-to-date. Because the sale of the Aerostructures business was concluded in October of last year, we will see a much smaller year-over-year impact in Q4. Moving to earnings, total adjusted EBITDA for the quarter was $142 million, representing an EBITDA margin of 9.8%. Adjusted EBIT was $49 million for an EBIT margin of 3.3%. Our adjusted EBITDA increased $58 million year-over-year and our EBITDA margins have improved by 380 basis points to 9.8% versus 6% in the same quarter of last year. The year-over-year improvement is attributable to the following factors. First, we have delivered more aircraft with a better delivery mix than last year. On top of this, the Global 7500 aircraft margin contribution as well as our cost reduction efforts continue to be a significant tailwind versus 2020. In addition, our aftermarket business contributed to a larger portion of the total revenue, having increased from 17% in Q3 of 2020 to 21% this year. Moving on to free cash flow, we saw a consolidated cash generation of $100 million in Q3. Inventory levels reduced by approximately $100 million versus the previous quarter, partly offset by lower accounts payable. Advanced levels were up $50 million as our unit book to bill reached approximately 1.7 times and our overall backlog group grew by $500 million to $11.2 billion. We have also seen meaningful reductions to our interest costs, as we started to benefit from the deleveraging actions we have taken. Our cash interest costs which stood at $101 million, represent a year-over-year improvement of 28% or $39 million for the quarter. As we enter the final stretch of 2021, we are very well positioned to meet our revised full-year guidance. Planned deliveries will increase in Q4 to reach approximately 120 aircraft for the full year, driving incremental revenues and margin conversion. The Global 7500 learning curve and our cost reduction actions will also continue to contribute incrementally, further expanding our margins versus Q3. Turning to cash flow, our year-to-date performance already meets our full year guidance. Our focus will continue to be centered on building backlog. So at a minimum, we replenish the advances associated with Q4 aircraft deliveries. Should we see continued strong demand, we will be well positioned to capture. Cash interest expense will increase in Q4 versus Q3, but will be well below last year's levels, given all of the debt repayment actions taken this year. We also do not expect any significant non-recurring expenses. Overall, we are on our way to deliver another positive free cash flow quarter and meet our free cash flow guidance. So in conclusion, we have achieved a great deal so far in 2021 and are confident in maintaining our strong performance through the end of this year as we head into 2022. The longer-term plan we have shared in early March remains on track and we continue to focus on becoming a more predictable, profitable and resilient business aviation company. With that, thank you very much. And let me turn it back over to Francis to begin the Q&A session.
Francis Richer de La Fleche: Thanks, Bart. I'd like to remind everyone that the Bombardier Investor Relations team is available following the call and in the coming days to answer any questions you may have. With that, we'll open up for questions on the call. Operator?
Operator: [Operator Instructions] Our first question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes, thank you very much and good morning everyone. Could you maybe provide some color about the context of a potential increase in production rate, where we are right now and maybe talk about the ability for the supply chain to endow a production increase in the current context of global supply chain?
Éric Martel: Okay. [Foreign Language], Benoit. Good morning, Benoit. Thanks for the question. So clearly - and I think we've laid this out clearly at the beginning of the year, our main objective this year was to rebuild backlog. So, this is clearly progressing extremely well. We will be remaining prudent, as I just mentioned, and clearly vigilant in our evaluation. And I said, this is a bit of an equation, you need to consider your backlog, we need to consider what will be the impact on pricing if we increase the rate and we need to off course assess properly the supply chain. So, we're taking measure on the supply chain, as I mentioned. We are redeploying extra resources right now in order to be proactive. So far, the team has done an amazing job. We don't have impact right now or minimal impact. So, we are feeling pretty good about where we are. But this is all about anticipating issue early in the supply chain that we can resolve today. So, we're working with our supplier also, we are - of course very closely. And of course, we will have, I think Benoit, in terms of our decision here further color when I think we provide you with our 2022 guidance in a few months from now, early next year.
Benoit Poirier: Okay. And just for the follow-up, obviously strong free cash flow performance after nine months versus your current guidance for the year. So just wondering what could maybe drag down free cash flow a bit in Q4, even if it's in the positive territory or is the guidance for the year on the free cash flow side overly conservative?
Bart Demosky: Yes, thanks, Benoit, it's Bart here, and good morning. Just a couple of metrics to help kind of shape up the picture. Our year-to-date usage has been $214 million versus our guidance of free cash flow usage of better than $300 million. So, we're already in a place where we're probably a bit ahead of where we thought we would be. We are staying with guidance. There's obviously still a lot of time to go here in the fourth quarter. But we do tend to see higher new order activity and deliveries in the fourth quarter than we do in the third quarter typically, at least in past years. So this quarter we saw strong new order momentum. That obviously helped us performed very, very well on free cash flow. And to answer your question on what might be helpful in the fourth quarter if we do see another strong quarter of order activity, certainly that would have an impact in a positive direction as could order mix if we are selling more of our large aircraft. Cash - on the contrary, cash interest cost in Q3 will be higher. That's just simply than it was in - sorry in Q4 than it was in Q3. That's simply a timing thing on our coupons. And we do expect to have a little bit higher CapEx in Q4 than we did in Q3. So hopefully, that helps give a bit of a little bit of color, Benoit.
Operator: Our following question is from Myles Walton from UBS. Please go ahead.
Myles Walton: Thanks, good morning, Bart and Éric. Maybe to talk a bit about the 7500 margins, have they turned a point now in the fourth quarter where we are that they are accretive to the overall EBITDA margins of the enterprise?
Éric Martel: I can - right now we are exactly on the right path. As we suggested early this year, we are seeing our learning curve improving and getting better exactly on plan. So clearly, we had a - we had some - now we are in the positive territory in Q3 and we will be also in Q4, and we expect of course this to carry on. So there's two phenomenon, we are getting the learning curve and also launch customer, also pricing is going to be improving. So, all these impacts are exactly in line with what we were anticipating earlier this year when we had the Investor Day. So right on track and clearly return in Q3 as we were expecting on the positive side, and of course that is going to become more and more positive as we progress.
Myles Walton: Okay. Any offsets to that looking into 2022, obviously that should be a pretty material margin expand or any other offsets you threw out there?
Bart Demosky: No, not in this case, Myles. With the 7500, the visibility that we have on the margin improvement, largely due to the learning curve, is very, very clear to us. I think as Éric and I both said in our comments, we've - we have so great visibility on the 100th aircraft, which is very near the end of its build cycle. So, we're in a great position and we see continued steady and progressive margin expansion on the platform.
Operator: Our following question is from Ronald Epstein from Bank of America. Please go ahead.
Ronald Epstein: Just following up on a couple of points, what are you seeing in terms of supply chain, raw materials, labor kind of thing? I mean across industries those have been factors, just curious what you're seeing now and how you're thinking about managing that into next year?
Éric Martel: So, we see a couple of things. Clearly there is pressure right now on the logistic. And as I mentioned earlier, our guys here have done a fantastic job in getting through the different port and transportation and everything to get the parts on dark on time here. So, we're pleased with that. But this is an everyday battle, as you can imagine. So logistic, we will continue to do what we've done and so far we are seeing some small improvement in Santa Maria. Then after, clearly there is availability and - of raw material and pricing of raw material is also of course - has an impact and will have an impact. I think, it's - everybody is facing that right now. And - but you know, we are well positioned there. We are redeploying extra resources in the field right now to work with, not just the Tier 1 supplier, but also the Tier 2 and Tier 3 supplier by region, to make sure - because one of the fit the phenomenon also that we are seeing is some of our Tier 2 and Tier 3 suppliers are facing manpower shortages and challenge to bring people in. So, we are working with them to make sure that this in the long run will not affect our supply chain. But clearly, we are in a very competitive market right now on the supply chain side, not just amongst ourselves in the aerospace industry with everybody. So clearly, we have also the majority of our supply chain is based here in North America and Europe, which is probably helpful right now for us, as you know, logistic are a little bit less complex since the beginning of the pandemic in that regard. So we'll be working closely with our supplier and we are already - but we will even beef up our team right now to provide good - to have better visibility of course into 2022. But as I said earlier, so far we have parts on the dark. We know exactly where this is going in Q4 and we're going to continue to monitor that situation closely.
Bart Demosky: Ron, it's Bart here. Just one point to maybe to build on Éric's response, in addition to all of the work that is being done to address the supply chain challenges, we are seeing as well very constructive pricing on new aircraft orders as well. So if we see a situation where higher costs are coming into our supply chain, on the revenue side things are progressing well.
Operator: Thank you. Following question is from Chris Murray from ATB Capital Markets. Please go ahead. Mr. Murray, your line is open. You may proceed with your question. So, Mr. Murray, we cannot hear you at this time. If you are on speaker phone, can you pick up the handset or unmute your line?
Francis Richer de La Fleche: We'll move to the next question, no, then since Chris comes back in queue.
Operator: Certainly. So, our next question will be from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Just wonder if you could talk a little bit more about the order activity in Q3, obviously pretty good book-to-bill. Can you just maybe touch on your model type, where you're seeing the strongest demand and also geographically where you're seeing the demand?
Éric Martel: Yes, that's a very good question. So the activity level has been extremely great in North America since the beginning of the year, but the positive news here is we've seen - and it was fairly slow, I would say, in Q1 and Q2 in Europe, but we've seen a major rebound of Europe in the third quarter. So, this is positive. So, we see basically North America keeping momentum, we see Europe now since Q3 coming back and Asia remains a little slower. There is activity but it's been slower than clearly the rest of the world and clearly related to the border and the restriction that they are facing right now that are probably a little bit more strict, so we see that. In terms of the order activity, as we were, I would say, readjusting our backlog, rebuilding backlog on some of the program, and we've seen good level activity, to be honest, across the board. For us, Bombardier 2, we are seeing good activity level with the fleet operators since the beginning of the year and even late last year it started, which is a positive for us because a lot of people coming and using business jet today for the first time or starting to are very often going to the fleet operator. You know that we are Bombardier, extremely well-positioned with the fleet operator. So this is - we're clearly gaining there in terms of being able to capitalize on this phenomenon that's happening during the pandemic. So we are in a good place. And you know, for us delivering airplane to the fleet operator also is a great news for our service business and airplane delivered to a fleet operator will fly, I don't know, call it 1,000 hours a year versus a regular operator will fly through 200 hours a year. So of course, generating more revenue for our service business.
Cameron Doerksen: Okay. Well, that's very helpful. And if I could just squeeze one very quick one in for Bart, maybe you can just update us with all the various actions you've taken on the balance sheet here, what the run rate interest expense expectation is at this point?
Bart Demosky: Sure. Yes, by all means, Cameron. So we've actually - well obviously been very, very busy over the last 6 months. In total, we've repaid or retired approximately $5.2 billion of debt - debt reduction on a gross basis is down - is $3 billion in total, so we're now sitting at $7 billion of gross debt with $1.9 billion of pro forma cash on hands. We're in a very good position in that respect as well. And interest run-rate, interest cost savings from now going forward are going to be about just over $225 million per annum. So hopefully, that helps with the question there, Cameron
Operator: Our following question is from Chris Murray from ATB Capital Markets. Please go ahead.
Chris Murray: Yes, thanks folks, apologies for earlier. Just looking at the aftermarket business, I was wondering if you could walk through the progression of the development of your facilities and just trying to get a gauge on your thoughts around your ability to continue to grow the business as we go into next year and in the - through 2025.
Éric Martel: Yes. So, great question, Chris. Thanks. And clearly, you know, we have a strategy right now of putting in place the capability and capacity, which is not just brick and mortar but it's also having the right skill set at the facility. So, we are ramping up. Our facility are extremely busy right now. The flying hours are raising across the world, you know, and clearly in the US and even in Europe it's actually ahead of 2019. So the Bombardier airplane are flying - our almost 5,000 airplanes flying in the world are pretty busy, which brings work to our facility, which you know right now we are looking to grow that capability. As you know, we are building our new facility in [Biganil]. We were already there but we are moving on the other side of the runway with a bigger facility because the business is super busy. We have done the same thing in Singapore, Singapore was actually built like 6 years, 7 years ago and right now we are growing like by about 3 times to 4 times our square footage over there to be able to accommodate. So clearly, the customer wants to come back to the OEM with their airplane. If you're not there then they can, but if you're around they will clearly go to our facility. Miami also and the Opa Locka facility in the Miami, Fort Lauderdale area is coming together. We should get this up and running sometime next year, which also again will generate new demand for us so. So this is amazing, what's happening right now in terms of having that capability available right on time because we believe that the market is going to be flying a lot again next year and those facilities are coming - and becoming available right - at the right time for us.
Chris Murray: All right, that's helpful. And then just one follow-up question. I was wondering if you could just give us a bit of an update on the Learjet program, appreciating that it's probably winding down, but I'm trying to maybe gauge, should that - should production be complete this year or should we be expecting some production little bit into next year?
Éric Martel: There will be a few airplane remaining to deliver in the first quarter next year, so that's been the plan. So, those airplane will deliver in Q1. And we are clearly burning down our work in process right now and the team is fully engaged, the team working on the line right now. We are going to be redeploying these people within the Wichita facility on the service business. So again, our timing is great here because we're reducing the rate, we're stopping the production. And the need for the right skill set is a challenge right now across the world in a lot of fields. So for us to have the ability to redeploy these employees into our service center in Wichita - and also, as you know, we have - I've mentioned that earlier we're growing our missionized business quite significantly. I've mentioned as an example the BACN program from the US Air Force that is in Wichita right now. We are of course redeploying people, very capable and talented people we have in Wichita on these programs, which as you know, are good revenue generator and EBIT creation for us.
Operator: Following question is from Tim James from TD Securities. Please go ahead.
Tim James: Thank you. Good morning. Éric, I'm wondering if you could give us your kind of updated thoughts on the long-term earnings volatility of the business, and you've talked about this in the past, some of the kind of revenue initiatives and your view of the cycle and how the business is positioned. But I'm just wondering if you can maybe again kind of update us on how you think about that going forward and what you can do with the business to never take away but limit the earnings volatility over the long term.
Éric Martel: So first of all, the - we've highlighted I think a very detailed plan. Our Global 7500 right now is clearly the biggest earnings driver contributor for us. We've mentioned somewhere around - or maybe a little bit more than $400 million. We also have our $400 million cost reduction plan, which will be fully recurring by 2023, which we are making great progress there again. So, this is also going to be another one that will stabilize and will be a lever for our earnings growth that we are expecting. The other one is the growth of our aftermarket business. We've laid out a plan where we want to grow our business from $1.2 billion to about $2 billion of revenue. This is going to be like more - so we'll basically bring the revenue portion of the full Company on the service from about 17%, 18% to about 27% by getting to about $2 billion. So - of revenue from the services group and that business is of course - bring a good margin for us. That's why I was answering a question earlier that we are growing our capabilities so that we can attract actually our customer back into our service facility. So clearly, reducing our cost brings less volatility and that's important because there is piece that we don't fully control, but that one we do control it and we're in a good place right now with our plan. The other piece also is having backlog brings stability. So, this is why having a bit ahead - and we're pretty disciplined about this. We like - for every program we have a target of minimum backlog and maximum backlog because having too much backlog is not good either. Having too low of a backlog is not good. So, we have clear target for every program in terms of where we are and we feel pretty good about our situation today. So, that will also bring predictability and stability moving forward in our earnings.
Operator: Our next question is from Noah Poponak from Goldman Sachs. Please go ahead.
Noah Poponak: When we're looking at next year, what makes the margin progression towards the 2025 target better than linear or worse than linear next year, as you move to the - outer year target?
Bart Demosky: I'll - Thanks, Noah. It's Bart here. I'll maybe start. The margin expansion for us in our plan going on to 2025 is more concentrated in the early years of 2021, 2022 and 2023, that's when we see the largest benefits from the learning curve on the 7500. We expect to deliver our full $400 million of cost reduction activities during that time period as well. So, the full run rate we've consistently been saying, we'll achieve that by 2023. As we move forward beyond that, we do anticipate or have modeled in for ourselves at least modest growth in new order activity going from 115, 120 aircraft to something more like 135-ish towards the back end of our program. So, we do expect - and with growth across the platforms in new orders, we benefit from spreading fixed costs across more airplanes, which gives us some margin expansion as well. We will slow down - sorry, it's almost 3 times 2020 EBITDA in 2021, which is very, very significant growth. That pace will slow down. A major contributor in the back half of the planning period will be the continued growth in our aftermarket business as it starts to make up more and more of the revenues of the business and we anticipate growing from 17% I think of revenues in 2020 to or 2022 by 27% by 2025. So, it is a bit skewed. It's not linear in the first over the entire 5 years, more concentrated through 2023 and then a slower growth in the back half of the plan.
Noah Poponak: Excellent. That is helpful. And just to follow up quickly on the services plan that you've mentioned a few times now and is pretty ambitious, what - I guess maybe what are the next steps you're rolling out there that we can follow? And is that easier or harder? Given the current environment, is there overflow that sort of easily comes to you or are things just so busy that it makes it tougher to make those inroads?
Éric Martel: I think it's very busy right now airplanes are flying. So, this is always the first leading indicator that we look at. So airplanes are flying a lot, especially in North America and Europe right now, actually over the level of 2019, which is very encouraging for us, because our profitability come from different fields, but one is our Smart Parts program. So, the more airplane flying then the more revenue and profit we can make on this program. And also the availability, having people coming with their jet home at the OEM and making this possible right now is clearly a good a good place to be. I also mentioned I think earlier that we - it's not just putting the service center, our strategy is also a bit more elaborate than that. We also have the Smart Link Plus program. So, those are new technology that we're putting out there to bring revenue. We just signed a detailed agreement with Signature also to help us in that regard. So, all these things cumulative bring more revenue and more profit to the aftermarket expansion.
Operator: Our following question is from George Shapiro from Shapiro Research. Please go ahead.
Unidentified Analyst: Hi, this is [indiscernible] for George.
Éric Martel: Good morning.
Unidentified Analyst: I was noticing that R&D - gross R&D has ticked up just a little bit this quarter. And while it's still insignificant net of what is capitalized, I was wondering if you wanted to comment on the competitive climate in terms of the new product offerings that have been announced and whether not that's impacted your long-term development plans and investment? Thank you.
Éric Martel: Okay. You know, we feel pretty good about where we are right now. The 7500 is a brand new airplane performing extremely well in service, well received also from the customer base. We always made the assumption that we were going to have competitors. So there has being launch of new products, which were, to be honest, exactly what we were anticipating. So, there was no surprise for us. The - some of the platform are derivative of a new platform. We'll see how they are being received by the market base. But clearly our 7500 today remains the flagship airplane from us and from the whole industry, and we are consistently delivering airplane. We have 80% - 80 airplane delivered today. We're going to deliver 100 airplane sometime in Q1. So, clearly this is heading for us in the right direction. So we feel pretty solid about our offering today and of course, we are always reevaluating mainly what our customers are saying, what our customer needs, are we okay with what we are offering or is there any new needs out there and we will re-adjust accordingly. Our CapEx envelope, and same thing - I can see the same thing across all the platforms. So no surprises, we feel pretty strong about our product offering today. And yes, we're thinking about what are we doing next based on the current market environment. But we are - we promise to be very disciplined with our CapEx level and we feel that we can manage the business extremely well with this envelope. Eventually, there'll be a day where we're going to think about a new program but we're not there yet. We're thinking about it. We're looking at when, what technology and we'll do it. But today, we have a very comprehensive portfolio of product and they are competing extremely well in the market.
Operator: Our following question is from Konark Gupta from Scotia Bank. Please go ahead.
Konark Gupta: Thanks, and good morning everyone. Good results. So maybe just to follow-up on the previous question on new products and competition, so like I think clearly general dynamics is kind of talking about the kind of good amount of interest they are seeing and the new parts they're bringing out. Deso obviously has another two products out in the market over the next 3 years, 4 years. There are also a lot of new products coming out. And I understand, like you said, you had anticipated some competition clearly, which is kind of the norm in the industry. But I'm just kind of curious as to - like if you are kind of keeping your portfolio kind of as is, the 7500 obviously being the best in class right now and these new products come out and the customer interest kind of suggests that maybe you need to invest some money into a new model or something, like what's sort of your preferred course of action, like would you prefer to go the path of new clean sheet design or are you looking at more sort of refreshes to keep the CapEx intensity low?
Éric Martel: I think every platform is different. I think we're just clearly with the 3500 right now and if I'm looking at the customer base reaction, which is very positive, this is basically refreshing our cabin, adding some new feature, which were exactly where the customer base were looking - was looking for. So, I think when you're listening carefully to your supplier base - not suppliers, sorry, but customer base and you respond to their needs and demand, then you get the type of reaction we got on the Challenger 3500 right now, which is extremely strong and positive. So sometime other platform will probably maybe require a bigger - could be a clean sheet, but to date, despite everything going on in our competitors move, I feel I still feel pretty good about our Challenger 650. First of all of, this is still the biggest cabin in that category of airplane. This is the lowest cost operating airplane. If you look at the deal you see at about $2,100 compared to everybody else we're competing with, which could be up to $3,000, we feel pretty strong. And the airplane is about $10 million less than the last one that just got announced from our competitor. So, you'd have to look at it - so this is - as an example the medium market segment is a big segment. I think our competitor now just position themselves right at the top of that segment, leaving a lot of room in the mid-size segment for us to be. So, we feel pretty good about the actual airplane and we'll see what we do moving forward. And again on the global and the large segment, there is - we're constant - on a regular basis we are discussing with our customers what they need. So the need right now for a long-range airplane at four zone is what the customer base is saying. A three zone to me is a question mark and - because if you fly for 17 hours, 18 hours you're going to need a second crew of pilots, you're going to need more flight attendants, meaning that you're going to give one of your three zones to your crew, so making the case for a fourth zone. So clearly, this is what the customer base is telling us and this is where we're - what we're thinking today is the right solution.
Konark Gupta: That's very helpful, Éric. Thanks so much. And Bart, maybe if I can squeeze a quick one for you. So on free cash, like we've seen you guys beat expectation last few quarters and maybe perhaps your own expectations as well, given you have seasonality in Q2 and Q3. I'm just kind of curious, like where - like you already saw order activity was kind of strong momentum heading into Q3. Where if any surprises to you on the positive side came from in Q3 on free cash and what kind of keeps you basically from raising free cash, given Q4 is usually positive?
Bart Demosky: Yes, sure Konark. Thanks very much. Obviously, with year-to-date usage of $214 million we're already within our free cash flow guidance for the year of usage of $300 million. So yes, we've seen a very positive momentum on the free cash flow side. The third quarter, as we saw with the second quarter, we had more orders than we would have planned for, which were quite helpful. There is a little bit of a mix benefit as well. If we continue to see the same kind of order activity, given the fact that we've had strong customer deposits on the aircraft that we've been selling, that would definitely be upside for us. So, to address your question about why we haven't raised guidance, I think we've said from day one that we want to stay focused on delivering the performance of the business and use conservative assumptions to make our decisions when it comes to deploying CapEx, when it comes to our forecasts and guidance for the year. We made a major upside revision to all of our guidance metrics at the end of Q2. We're very comfortable obviously with the guidance that we have now and our ability to achieve it across the board in Q4. And if it was just me sitting here, I would say yes there's probably upside to what the guidance is on free cash flow. But as I said in response to your question earlier on the call, it's the first month of the quarter and there's a long way to go. So, we'll stick with our conservative approach for the time being. Hopefully, that helps.
Operator: Our following question is from Stephen Trent from Citi. Please go ahead.
Stephen Trent: Hi, good morning, gentlemen and thanks for taking my question. Just out of curiosity, when we think about how the pandemic may have shifted aviation, it certainly seems that the dearth of premium cabin in commercial aviation has really given a nice leg-up to business jets. Do you see any of this as structural as we come out of the pandemic? And to what degree do you also think about the rollout of electric air taxis as a threat, let's say, to the small cabin side? Thank you.
Éric Martel: Yes, so I'll answer both questions. You know, Stephen, first of all to your first question, clearly the pandemic has been an accelerator for us. So I think that things that could have happened in the 5 years to 10 years down the road, having more people leaving commercial aircraft and coming to business jet and either via the fleet operator or buying their first airplane, has been accelerated by the pandemic. There was no flight available either at commercial or people started to realize that there was a premium to pay to come to business jet but is - maybe it was not as significant between flying a premium on a commercial aircraft than they thought. And the second thing is of course safety, the obvious is you can fly with, I don't know, your family on the airplane and you feel safer. So for all these reason, there was an acceleration of people, I will say this, coming our way. And then I think the second question will be how sticky will that be? When things come back to a more normal will they stay? We do believe that there will be some leakage but we do believe that the majority will continue to fly business aircraft. So, that's your question number one. Question number two, about the taxi, I think it's a very different market than - you know what, we're not competing in that market. Today we are a long range and - but the taxi market can also be of interest for us as we can probably team up with these people. And when somebody landed an FBO, they're not always at the exact destination they need to be. So, those possibilities will actually probably make even business jets more attractive.
Francis Richer de La Fleche: Operator, we have time for one last question.
Operator: Certainly. Our last question is from Jack Ayers from Cowen and Company. Please go ahead.
Jack Ayers: Good morning. This is Jack on for Cai today. I guess just a quick question around pricing. Obviously, you alluded to this jet very strong, deliveries going up. I just want to maybe get your take on the pricing environment, our checks are - used biz jet available for sale are extremely low and just maybe get your perspective on what you see on pricing going forward. Thanks.
Éric Martel: So as we said, clearly pricing has improve significantly through the year. The fact that the pre-owned airplane availability is at the lowest level that we've seen in this industry, clearly people are looking for solution. Yes, the fleet operator are one solution, but even themselves right now you've heard then quoting very often 30%, 40% more customer on their list, so of course there is need also from these guys. So, we believe right now with what I just said also previously that if the new customer base stick to business jet aviation, clearly this is going to change the infrastructure and the way we're doing it and will clearly require more airplane. So as we said earlier, it's a balance between do we want to accelerate rate right now, what's going to be the impact on pricing, can the supply chain follow and what kind of backlog are we targeting. So, this is always a bit of a complex situation. As you know, we're in an industry where when we make a decision to accelerate rate, there is a - it's not happening the next day. It takes a little bit of time as the supply chain needs to react. So, it's all of this that we are thinking right now and make sure that we can achieve our plan, we can keep the pricing that we see right now without affecting the pricing because we've increased the rate and then maybe the supply chain cannot follow. So all these questions are on the table, but clearly we foresee right now pricing - we see better pricing. Low pre-owned inventory is clearly a driver for us in terms of demand and the pricing improvement will also help us to offset cost inflation pressure we see right now clearly on the billable material, as I'm sure you would imagine, and raw material. So, we're focused right now on building the backlog at the right price basically.
Operator: Thank you. That's all the time we have for questions. Back to you, Mr. Martel.
Éric Martel: Okay, thank you so much. So thank you again, everyone, for joining us this morning. I am very encouraged by the market, our team's performance, and also the quality of our product offering. We will carefully manage any obstacle that comes up, but we've set the right fundamentals so far and I am pleased to see that our consistent performance as reflected. We have a busy few weeks remaining ahead of us to close out this year, and I look forward to sharing what's next when we meet again in the New Year. In the meantime, please stay safe and stay healthy. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.